Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 Media General Earnings Call. My name is Towanda and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Lou Anne Nabhan, Vice President. Please proceed, ma'am.
Lou Anne Nabhan: Thanks, Towanda, and good afternoon everyone. Welcome to Media General's fourth quarter conference call and webcast. Before today's market open, Media General announced earnings for the fourth quarter of 2007 and revenues for the month of December. Both press releases have been posted on our website. The comments from today's conference call will also be posted on our website immediately following the call. Today's presentation does contain forward-looking statements, which are subject to various risks and uncertainties. They should be understood in the context of the company's publicly available reports filed with the SEC. Media General's future performance could differ materially from its current expectations. And now, I would like to turn the call over to Marshall Morton, President and Chief Executive Officer of Media General.
Marshall Morton: Thank you, Lou Anne, and good afternoon everyone. Our comments today will cover our financial results for '07 and our perspective on '08. I'll address the challenges faced by our company and industry, and what we at Media General have done, and are doing, to meet those challenges. I will also comment on recent disclosures by a hedge fund, Harbinger, which has acquired a significant minority position in our Class A stock. Starting with the year '07, as you all -- for our company and for the entire industry, it was one of the most difficult in recent memory, perhaps in history. Our industry faces a number of challenges from the Internet, from structural changes in other industries that have historically been major purchasers of newspaper and television advertising, from a cyclical economy, and, for some companies, including Media General, from the currently depressed Florida economy. In the face of all these challenges, we have moved aggressively to strengthen the company. We have done so with a great sense of urgency and in a variety of ways. For example, we launched a determined effort in early '05 to increase advertising revenues and total audience by aggressively creating new print and online products that target diverse and untapped audiences. These include products and services targeted to specific demographic, geographic and topical communities of interest. Examples include hyperlocal newspapers with companion websites, magazines for women and Spanish-speaking people, and publications focused on such topics as health and fitness. In 2007, the Publishing Division generated $40 million from new product initiatives and the Broadcast Division generated $22 million from similar efforts. We are rigorously focused on controlling expenses and reducing them wherever possible. This has been accomplished by consolidating and centralizing many back office and technical functions, by outsourcing customer service and circulation functions, and by carefully managing all controllable expenses. In the fourth quarter, Publishing Division expenses were down more than 5% from the prior year, excluding the effect of an extra week in 2006.  Broadcast Division expenses for the period increased only 1.4%, not including higher depreciation expense related to our significant digital investment and also excluding that extra week in 2006. We've more closely balanced our publishing and broadcasting portfolios, including our purchase in mid-'06 of four NBC stations that will make us less dependent on the traditional newspaper business. We have successfully implemented, in six markets, a multimedia strategy to maximize our operating efficiencies and leverage the strengths of our newspapers, broadcasting and online assets.  In Tampa, where we pioneered this approach, our media platforms have an unduplicated reach of more than 75% of the total market. We are aggressively investing in and growing our Interactive Media business.  We offer a wide array of online products and services, including our very successful advergames, and we're expanding our alliances with online partners such as Yahoo!. Media General, by taking these and many similar steps, is well-positioned to transition successfully from being "just" a newspaper company, or "just" a broadcast company, or "just" a company that has both newspaper and broadcast assets, to being a company that advertisers turn to, and depend on, for our ability to aggregate and deliver the target audiences they need to reach in the markets we serve, a company that enables advertisers to reach exactly the target customers they want, exactly when and exactly how they want and need to, in a highly cost-effective way. It's also worth finding out that Media General has being in business now for nearly a 160 years. We've been through many market cycles, experienced many market and technological disruptions and dealt successfully with many challenges. Importantly, we deeply embedded better than the DNA of our region, which, despite the current housing related-recession in Tampa, remains one of the nation's fastest-growing and economically robust. Our industry is in transition, it's going to take time for us and no doubt for our peers in the industry to complete the transformation process we are currently pursuing. It's frustrating for us and we recognize that it's frustrating for you that our progress is not yet meaningfully reflected in our financial performance. People need incredible information more than ever. No one in our region is better than Media General at gathering, analyzing, packaging and providing the local news, information and entertainment for our millions of customers want and need. For that and for other reasons, we remain confident that our financial results will improve over time, based on the steps we've been taking and on the fundamental strength of the company, of our publishing, broadcasting, and Internet assets, and of our region. I'd like to comment now on the recent developments concerning Harbinger. On January 25th, we received notice Harbinger Capital Partners Master Fund, and an affiliate, seeking to nominate three individuals for election to Media General's Board of Directors at our Annual Meeting of Shareholders in April. Yesterday, we received a letter from Harbinger indicating, after many months of failing to return our repeated calls, that they will now welcome a dialogue and/or a meeting us with us at "the earliest opportunity." We continue to be puzzled as to what Harbinger hopes to achieve by its actions. This hedge fund appears to have a high portfolio turnover rate, rotating out of numerous holdings every to 6 to 12 months. A Board member having such a short-term perspective would be disruptive to our company and would, in our view, be adverse to the legitimate, long-term interest of all Media General shareholders. Since Harbinger first disclosed this past summer that it had acquired a 9.1% stake in Media General's Class A stock, including last week, when it disclosed that it had increased its economic interest in our stock to more than 21%, we have sought repeatedly to talk with Harbinger and learn what's on their mind. Until yesterday, however, Harbinger has expressed no interest in meeting with us and has not returned our calls. We welcome Harbinger's willingness to engage in a dialogue with us. We look forward to hearing what they have to say and to giving them our perspective on the issues they have raised such as corporate governance, strategic direction and capital allocation. As we have been telling all of our shareholders for sometime, Media General has taken many strategic operational and financial steps in response to the challenges facing the newspaper and broadcast industries today and, with respect to Media General in particular, in response to the currently depressed Florida economy. We expect each of our current Directors elected by our Class A shareholders to stand for re-election at this year's Annual Meeting. They are eminently qualified to serve on our Board of Directors and have the experience to move our company forward in a positive fashion. When we talk with Harbinger, I will urge them, once again, to abandon the thoroughly unwarranted course of action on which they have embarked, a course of action that can only result in needless expense and a needless distraction from our continuing efforts to build Media General's value not just for Harbinger, but for all Media General shareholders. Turning to the specifics of our financial results, Media General's fourth quarter results reflected the impact of the ongoing challenges I've described earlier. In addition, our fourth quarter results included several one-time items that I would like to discuss and then move into a discussion of operations. The first one-time item that appears on our income statement is a gain on an insurance recovery in the amount of $17.6 million, or $11 million after tax, related to a June 2007 fire at our Richmond Times-Dispatch printing plant. One of three presses was destroyed. Fortunately, no one was hurt and normal operations resumed quickly. As a result of losing the third press, we have lost some flexibility at the plant, for maintenance scheduling and such things, but, at the same time, we do not intend to replace the press that was destroyed with the same equipment. At some point, we are likely to pursue a strategy of incorporating new equipment that would provide color printing capabilities we don't currently have, and it would serve the needs of not only the Richmond Times-Dispatch, but all of our Central Virginia newspapers. While no plan is currently on the table, such a strategy would be modeled after our success in Bristol, Virginia and Opelika, Alabama, where we are realizing significant new revenues from color and commercial printing at our new presses in those markets. In the meantime, more than $40 million of insurance proceeds were used to repay debt prior to yearend. Let's move now to items related to our investment in SP Newsprint. We're pleased that SP's strategic review that began in the middle of last year resulted in the announcement on January 18 of a sale to White Birch Paper Company. When the transaction is completed, we will have $37 million to $40 million in proceeds, which we plan to use for debt repayment. Selling our one-third interest in SP will eliminate the earnings volatility we have experienced in recent years from that investment. Moreover, the sale will enable us to focus fully on our core business as a pure media company. We believe we have captured in an accrual in our 2007 fourth quarter the lion's share of any P&L impact we would have from SP Newsprint between now and closing, except for the normal accounting true-up at the close, as long as SP's business continues to perform as expected. Our fourth quarter accrual for a non-cash book loss on our SP investment was $10.7 million or $6.5 million after tax. Also, as a result of the sale agreement, SP expensed certain transaction costs and wrote down some of the goodwill on its books. Our share of SP's write-down in the fourth quarter was $4.4 million. In addition to the write downs, our share of SP's operating loss for the fourth quarter was $6.8 million.  Newsprint price deterioration of approximately $75 per ton and raw material cost increases were the predominant reasons for SP's year-over-year performance decline. Let me now discuss the last significant infrequent item in our fourth-quarter results. As you know, we have initiated a process to explore the sale of five television stations. As of the end of December, we were far enough along in the process to classify three of these stations, and their associated websites, as "held for sale" and we reported their results as discontinued operations. They include our stations in Alexandria, Louisiana, Panama City, Florida, and Toccoa, Georgia. The divestitures are expected to occur during the first half of 2008, and they could occur in more than one transaction. We continue to pursue the sale of two other stations, those located in Lexington, Kentucky and Jacksonville, Florida. The three stations held for sales, taken alone, produced an estimated $2 million loss. Assuming agreement for buyers for the remaining two stations at reasonable multiples, we expect that we will report a gain on the sale of all five together when all is completed. Net proceeds from the sale of any television stations will be used to reduce debt. Now, let's turn to a discussion of operations for the fourth quarter. As a reminder, our 2007 fourth quarter had 13 weeks and our 2006 fourth quarter had 14 weeks. The extra week in '06 contributed an estimated $18.5 million of revenues and $2.5 million of net income. In the 2007 period, the decline in income was chiefly attributable, no surprise here, to markedly lower Political revenues compared to the record $33 million in the 2006 fourth quarter, from the absence of the Winter Olympics this year and from the severe economic downturn in Florida which had a significant unfavorable effect on all of our Tampa operations, especially The Tampa Tribune, but also WFLA and TBO.com. In the Publishing Division, all major advertising categories were challenged. The Tampa market has pronounced declines as nearly all factors of the economy are now enveloped by the troubles that began in the real estate market. In Tampa last year, we streamlined a variety of operations and eliminated more than a 150 jobs in order to align expenses with the revenue environment. Our Tampa properties have also moved aggressively to develop new lines of business and to exploit pockets of opportunity in Classified. At the same time, several of our newspapers, including Richmond Times-Dispatch and a number of our community papers, reported profit increases in 2007. In fact, the Publishing Division realized success on many fronts in 2007. In addition of generating $40 million of revenues from selling new products and solutions to our customers, as I previously noted, the division significantly reduced expenses. Outsourcing customer service operations was implemented in all three of its metro papers, not just Tampa. Last year also saw a further consolidation of our newspaper printing sites. We moved printing and inserting of our Rockingham County papers into Danville and Lynchburg. We took advantage of several opportunities to expand the use of our press capacity in '07. We started printing USA Today in Tampa in the early part of the year, and we finished converting the web-widths at all of our newspapers to 48 inches in November. As a result of this and many other newsprint conservation efforts, along with decreased usage overall, we achieved a reduction in our newsprint consumption of almost 14% in 2007. Publishing Division expenses decreased by 3.9% for the year, excluding that extra week in 2006. The expense decline was attributable to the initiatives just described plus lower employee benefits; healthcare, retirement related, and disability insurance expenses, and lower salary expense resulting from a reduction in FTEs at virtually every newspaper, plus keeping certain budgeted positions unfilled. As we look out into 2008 for our Publishing Division, we expect a continuation of severe advertising pressure, especially in Florida, where we do not believe we have seen a bottom in the state's economic downturn. And, as you all know, newsprint prices are increasing. Although we may continue to see a decline in the demand for traditional print newspaper products, we're confident that there will always be a strong demand for local news, information and advertising solutions. We are well-positioned to be the leading provider of those products and services in our markets. Our challenge is continually to find new and innovative products and methods for delivering those products and services. Much of the decline we have experienced can be tied to a couple of specific industries namely, automotive and real estate, and the economic downturn in our largest market, Tampa, and we do believe that these economic trends are cyclical in nature and should rebound. We do recognize, however, that some of the decline is not cyclical but more of a structural shift that will leave a void that has to be bridged with growth from new products and services. We will continue our research driven approach to our newspaper content and to our web first initiatives, as well as our focus on new products and services, all of which are designed to drive total audience growth and provide important advertising vehicles for our customers. In the Broadcast Division, while the extra week played a role, the drop in operating profits from '06 to '07 is largely attributable to the record level of Political revenues in '06 and the relative lack of such revenues in '07. At the same time, because of the early primaries in 2008, political revenues became more of a factor in '07 than they normally would be in an off-election year, and we generated more than $4 million in Political advertising revenues in the 2007 fourth quarter. As I mentioned earlier, the Broadcast Division generated $22 million in 2007 from new products and also derived significant success from other revenue building block initiatives, such as co-op advertising and advertiser package incentives. At our four new NBC stations, we completed our sales training programs and moved to performance-based compensation plans, and effectively positioned these stations to become more effective service providers to local advertisers, a focus that was not as much a part of their culture when they were NBC owned and operated stations. The Broadcast Division has just completed the centralization of its graphics operations at a new facility in Richmond, adding on to the approach we already use for central traffic and central master control for our CBS and NBC groups of stations. Turning now to our Interactive Media Division, its results for the fourth quarter had several different components. More than half of the $2.6 million loss the division posted was due to a $1.4 million write-down of an investment in a small public company that produces interactive entertainment. Operationally, this division is making excellent progress driving online revenue growth as a result of a multifaceted focus to aggressively develop the content on our websites that are associated with our newspapers and televisions stations. We are effectively leveraging the intellectual capital of our traditional platforms to support the Web-First approach to news that we launched last year in all of our newsrooms. In 2007, interactive media revenue overall increased approximately 40%, including our advergaming business, which had an outstanding year and helped overcome a shortfall in online classified revenues. We are realizing enormous success with our foray into our web-based advergaming business. Blockdot transformed prior-year loss of $1.2 million on revenues of just over $3 million into operating profits in 2007 of $2.6 million on revenues of $8.8 million. This outstanding performance was due to Blockdot's great success in signing and delivering on large advergaming projects with companies like Microsoft, General Motors, and AT&T. Online Local and National revenues increased over the prior year by approximately 50% each. To further drive online sales, we added "feet on the street." We also developed a compensation model for online sellers that drives over performance and integrates market level objectives with compensation strategy. And, we've created an Achiever's Club for top online sellers across all divisions. One of the most important achievements of '07 was a broad and deep restructuring of the Interactive Media Division's management team, including the naming of a new Division President, who has a long record of success in creating and growing local online enterprises. On December 18, 2007, the Federal Communications Commission adopted a new newspaper/broadcast cross-ownership rule, which allows a company to own newspapers and broadcast stations in the Top 20 US markets if certain standards are met.  In addition, the FCC has advised that it will grant permanent waivers to our existing combinations in the Tri-Cities, Myrtle Beach-Florence, Columbus and Panama City, where we have been operating successfully on a converged basis for many years. As you know, our Tampa combination has been grandfathered since 1975. We're gratified by the FCC's action; its, for us, an official recognition of what we've been saying for year, that common ownership and convergence allow us to serve local communities better, and with greater amounts of high-quality local news and information that is tailored to their needs. In short, this business model gives us more tools and allows us do better job reaching our audiences as, when and where they want. We think this ultimately leads to more eyes on our products, and that, of course, is critical to our competitive success.  At the same time, we continue to believe that the benefits of cross-ownership should be available to communities of all sizes, and so we will continue to press for relief in all markets, regardless of size. Touching on a couple of additional key metrics for '07, capital expenditures of $78 million were lower than the $94 million spent in '06. This year we expect capital expenditures to be approximately $45 million. Debt was reduced $19 million during the year and the yearend balance was $898 million, which represents 50% of the total capital. Net cash provided by operating activities of a $131 million, coupled with the insurance proceeds from the press fire, were used for capital expenditures, the repurchases of 1.5 million shares of our stock, dividends, and debt repayment. Looking ahead, even if there is a mild repression, we expect 2008 to be a much better year than 2007 for Media General because it's a Presidential election year and because we will have the Summer Olympics on our NBC station. In addition to television advertising, we are pursuing online clinical advertising and we have created on-air and online Olympics packages that will be sold at the local level in all NBC market While we can't predict when the fundamental strength, stability and intrinsic value of Media General will once again be reflected in our stock price, we believe in the continuing importance and value of print and broadcast, as well as online media, and in the fundamental strength and long-term earning power of Media General, for a number of reasons. People want and needs local news and information; and our experience and research-driven operating style distinguish us as expert providers of both in all of the markets, all the communities we serve. Increasingly, we provide this local news and information as, when and where our individual customers want it. Advertisers continue to need to reach local audiences, and in the Southeast region, we continue to be the best way for them to do so through whichever channels work best for their customers. We are market aggregators for our advertisers, and the aggregation strategies, resources, skills and tools we offer advertisers distinguish us from the rest of our industry In short, despite the challenges faced by our company and industry, we continue to believe, and remain highly confident, that the long-term outlook for Media General, and for our shareholders, in this information-hungry age is bright. That concludes our formal remarks. Reid Ashe, our Chief Operating Officer, and John Schauss, our Chief Financial Officer, are here with me and now we will be pleased to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Mr. David Clarke with Deutsche Bank. Please proceed, sir.
David Clarke: Good afternoon. What's of -- what have your larger national and national retail chain advertisers been saying about ad budgets for 2008. Have they have been pulling back in anticipation of a recession at all or are they still advertising at this point or they expressing concern?
Marshall Morton: Reid, do you want to answer that?
Reid Ashe: We have seen some reductions from major advertisers but have not had any clear indications of what their intentions are for the remainder of the year.
David Clarke: Okay. And I guess sort of related New York Times today said earlier today that January newspaper ad trends were down about same amounts as December and they had a very weak December, have you seen the same top start 2008? I know you were saying that you think '08 will also have some severe ad pressure but have you gotten off to a weak start?
Reid Ashe: We haven't seen any improvement.
David Clarke: Okay. And finally I believe your Tampa website was your beta test for the Yahoo! consortium, other elements of the Yahoo! consortium deal. How has that being going for you and I guess also is the timetable rolling out those other components of the Yahoo! deals still sort of third quarter timeframe?
Reid Ashe: We have in Tampa learned enough to test the system and we're pleased with what we've experienced so far. We don't have material -- financially material results to report yet, but the next rollout will be Richmond. We are constrained by Yahoo!'s ability to turn on additional sites, and I don't remember how many we expect to have on by the end of this year. Lou Anne might be able to help with later.
David Clarke: Okay. Thank you.
Operator: And your next question comes from the line of Mr. Richard Tullo with Sidoti. Please proceed.
Richard Tullo: Yes, hi. I've got a couple of questions here. When would the revenue of the three stations that were moved to discontinued ops?
Marshall Morton: Where were the revenues, did you say?
Richard Tullo: Yeah.
Marshall Morton: John, can you help him? We can get back to you on that, Rich. He doesn't have the number right in front of him.
Richard Tullo: Okay. And how much of investment banking and new product add to your just SG&A expenses in quarter, it seems like you are doing a lot?
Marshall Morton: Well, investment banking would have been -- you are thinking about like the TV station sales and so forth?
Richard Tullo: Yes.
Marshall Morton: That wouldn't have gone into P&L in the quarter because it falls into the station sales itself.
Richard Tullo: Okay.
John Schauss: Rich, I do have the after tax income from the discontinued operations….
Richard Tullo: Okay.
John Schauss: ..to be $2.4 million.
Richard Tullo: $2.4 million. Okay. And so we have not seen a bottom in Florida yet, I mean the newspaper numbers seem absolutely horrible. Is there any way -- is there anything being done to turn that around even lowering rates precipitously or is there anything you can do to kind of change the direction, because it seem to be pretty weak across the board.
Marshall Morton: We're pushing very hard there, and of course, things like working with rate is one of the tools that we always use to encourage more advertising. Florida's just been hit by an awful lot and the impact on the real estate business has been found out and all the businesses to deal real estate. The insurance side of the equation is also tough. In the primary they held this week, they had homestead act changes that may take some uncertainly out of people's mind with respect to trading properties. That could be helpful, but for the moment, our push is on making sure we got the cost equation right and on pushing on additional products down there, which we are doing and we have a couple of launching within the next month or two.
Richard Tullo: Have you seen any pick-up in financial advertising with the recent cut in interest rates?
Marshall Morton: Reid, what do you…
Reid Ashe: No. I suspect we will begin to see that in things like automotive where they can translate that into promotabale financing deals.
Richard Tullo: Okay. And what's the current outstanding debt balance again, I missed it when you were going through the numbers?
Reid Ashe: Yeah. Outstanding debt is $898 million at the end of 2007.
Richard Tullo: Are you going to use the proceeds from the, from SPN to pay that down in, I guess the second quarter of '08?
Marshall Morton: Yeah.
Reid Ashe: Yeah.
Richard Tullo: Great. Thank you.
Operator: (Operator Instructions). Your next question comes from the line of Mr. Edward Atorino with Benchmark. Please proceed, sir.
Marshall Morton: Ed?
Edward Atorino: Hi, out there. How does TV look, you must have got a little bit from the Florida and as we move into, was it super Tuesday, any dollar showing up either on the political front or just from a general TV environment?
Marshall Morton: We just got done in South Carolina too, where we have…
Edward Atorino: That's right.
Marshall Morton: Reid, you want to talk about political?
Reid Ashe: We had a good remarks for political. We did, its our preliminary numbers. It is based on orders on the books a week before the election was $2.9 million, which was about a $1 million more than we had anticipated. And we may wind up a doing a bit better than that. Otherwise, January and February, the transactional business is pretty slow. For some reason, March is looking better in terms of non-political orders on the book. The slowness, by the way, is all in national advertising. We are doing pretty well on local.
Edward Atorino: Okay. What's the time table on, I think you said that earlier, the closing of Newsprint.
Reid Ashe: Right at the end of or the beginning…
Edward Atorino: Yeah.
Reid Ashe: End of first quarter or beginning of that quarter.
Edward Atorino: Yeah. Okay. It's tough down there, I know.
Marshall Morton: Thanks, Ed.
Edward Atorino: Bye.
Operator: And your next question is a follow-up from the line of Mr. David Clarke with Deutsche Bank. Please proceed, sir.
David Clarke: Thank you. Just one more question. Again on Newsprint and sort of looking at '08, obviously, you're going to benefit consumption wise throughout '08 year-over-year due to the width reduction in Tampa. Are all your papers at 48 inch now or do you have other opportunities for that or I guess my question would really be the other way that you can lower further reduce consumption on this year?
Marshall Morton: We are at 48 everywhere and of course we, like everybody else are looking at what other reductions make sense. And further width reduction makes sense. Some are now are looking at lighter weight paper and we are looking at that too as a means of cutting expense. There is a question of keeping product quality strong. At the same time, we reduce costs. Other things you can do, you can beef up the end controls in your press and have less waste. And so often we find there are ways to affect efficiencies there too.
David Clarke: Okay. Thank you
Marshall Morton: Sure.
Operator: (Operator Instructions)
Marshall Morton: Sounds like there are no more questions. Thank you very much for tuning in. We look forward to updating you as we make progress in the next couple of quarters.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes your presentation. You may now disconnect and have a wonderful day.